Operator: Good morning, ladies and gentlemen. Thank you for standing by, and welcome to 5N Plus Fourth Quarter 2025 Results Conference Call. [Operator Instructions] And I would now like to turn the conference over to your speaker today, Richard Perron, President and Chief Financial Officer. Please go ahead.
Richard Perron: Good morning, everyone, and thank you for joining us for our Q4 and full year 2025 results conference call and webcast. We'll begin with a short presentation, followed by a question period with financial analysts. Joining me this morning is Gervais Jacques, our CEO. We issued our financial results yesterday and posted a short presentation on the Investors section of our website. I would like to draw your attention to Slide 2 of this presentation. Information in this presentation and remarks made by the speakers today will contain statements about expected future events and financial results that are forward-looking and therefore, subject to risks and uncertainties. A detailed description of the risk factors that may affect future results is contained in our management's discussion and analysis of 2025 dated February 24, 2026, available on our website and in our public filings. In the analysis of our quarterly results, you will note that we use and discuss certain non-IFRS measures, which definitions may differ from those used by other companies. Further information, please refer to our management's discussion and analysis. I would now turn the conference over to Gervais.
Gervais Jacques: Thank you, Richard, and thank you all for joining us today. 2025 was truly record-setting year for 5N Plus. By leaning on our strength, we navigated a complex macroeconomic and geopolitical environment with agility and delivered phenomenal growth. This was driven by our strategic focus on value-added products in key end markets, our flexible global sourcing and manufacturing capabilities and strong customer relationships. Customers recognize our expertise. They trust us to deliver reliability and quality in demanding advanced material applications. In 2025, we also reached new heights in our financial performance, far exceeding the objectives we set for ourselves when we started the year. This includes accelerated revenue growth, record adjusted EBITDA and significant margin expansion, and it was made possible by contributions from both of our segments. In Specialty Semiconductors, our strong performance across the board once again confirm our status of -- as a supplier of choice in the high-growth renewable energy and SPACE Solar Power sectors. Starting with renewable energy. The new and expanded agreement for the supply of thin-film semiconductor materials with our strategic customer announced last August was an important milestone, providing visibility on a multiyear growth path. Under the new agreement, we increased volumes by 33% for the 2025 and '26 period underway and by another 25% for the subsequent term, taking us to the end of 2028. This agreement supports our customers' U.S. manufacturing growth plans as the leading American solar technology company. It also reinforces our critical supplier role within this value chain. SPACE Solar Power is another key end market with a clear and multiyear path for growth. After a strong year, our project pipeline at AZUR is very robust, extending beyond 2028. By the end of 2025, we successfully increased solar cell production capacity by 30% as planned. We are also now working towards an additional 25% capacity increase, which we expect to start gradually coming online in the second half of 2026, in line with customer demand. Whether in Montreal or in Germany, our sites are focused on scaling production and pursuing capacity expansion with discipline, unlocking productivity improvements and operational efficiencies along the way. Earlier this year, we also announced that we received a USD 18.1 million award from the American government to expand germanium recycling and refining capacity at our St. George, Utah facility. This investment aims to strengthen domestic supply chains for optics and SPACE Solar applications. Once again, it is a recognition of our expertise in reliability in a strategic sector. Finally, in performance materials, our intentional focus on key products in the health, pharmaceuticals and technical materials sectors has been the right one. In 2025, we capitalized on favorable pricing conditions and delivered strong results despite lower volumes. And this was no accident. As the leading supplier of bismuth-based chemicals and compounds, we took full advantage of our flexible sourcing and manufacturing capabilities to realize improved margins. Looking ahead, while the operating environment is expected to remain complex, the underlying growth trends across our key end markets remain clear. Strategically, 5N Plus sits at the intersection of utility scale and space-based renewable energy infrastructure. We supply advanced materials that enable critical sought-after technologies. As we previously discussed, solar energy remains a key component of the U.S. energy mix despite policy shifts. One of the driver is the fast adoption of AI technology, which required large data centers with significant power needs. At the same time, structural expansion in the space industry continues at elevated levels, where we are the go-to partner to the main players in this sector, thanks to our leadership in solar cell technology. Medium term, we also anticipate growth opportunities in imaging and sensing, both on the security and the medical imaging front. In performance materials, we remain a key partner for health and technical materials with growth expected to remain broadly in line with GDP, consistent with historical trends. With strong foundations, a clear growth path and a proven strategy, we are well positioned to level up our performance in 2026 and deliver long-term value for our shareholders. With that, I will now turn it over to Richard for a detailed review of our financial results and outlook.
Richard Perron: Thank you, Gervais, and good morning, everyone. We are very pleased with our record financial performance of 2025. What you're seeing today is the result of strategic choices. Over the past several years, we have made a concerted effort to grow our specialty semiconductor business and to increase the proportion of revenue and earnings coming from high-end and high-growth sectors. At the same time, we have streamlined our performance materials activities, increasing the resilience of our highly complementary business. We have accomplished this by adjusting our footprint and investing in operations over the years, streamlining our product portfolio with a focus on growing or solidifying our position in key end markets and prioritizing client partnerships built over the long term. Our results speak for themselves and validate our strategy. In full year 2025, total revenue increased by 35% year-over-year, reaching $391.1 million with $285.4 million of those revenues coming from specialty semiconductors. Adjusted gross margin increased 44% year-over-year to reach $131.8 million in full year 2025. This translated into a robust adjusted gross margin as a percentage of sales of 33.7% for the year. This was boosted by an exceptional adjusted gross margin of 42.4% of sales for full year 2025 in performance materials. Finally, full year 2025 adjusted EBITDA increased by 73% over last year to a record $92.4 million. This includes a $70.1 million contribution from specialty semiconductors, helping us exceed the high end of our twice increased annual guidance range of between $85 million and $90 million. With our increased cash flow generation and prudent balance sheet management, we have significantly reduced net debt from $100.1 million at the end of 2024 to $50.3 million at the end of 2025. This brings our net debt-to-EBITDA ratio at year-end to 0.5x. Let's now take a closer look at our segments. Starting with our Q4 performance in Specialty Semiconductors. Revenue increased by 47% compared to Q4 last year to reach $76.2 million, supported by higher volumes in renewable energy and space solar. Adjusted gross margin increased by 27% in dollar terms. As a percentage of sales, adjusted gross margin was lower year-over-year coming in at 25.5% because of a less favorable product mix and higher planned maintenance expenses. As discussed on our last conference calls, we completed incremental preventive maintenance in full year 2025 to support our operational objectives for the full year 2026. Adjusted EBITDA in Q4 2025 increased by 12% to reach $14.2 million, supported by higher volumes, partially offset by the same factors mentioned before. Quarterly variations aside, the segment's performance for the year was excellent with a 41% increase in revenue to $285.4 million and a 59% increase in adjusted EBITDA to $70.1 million, while maintaining a robust annual adjusted gross margin of 30.8% of sales. Backlog also continues to be maxed out at 265 days as per our definition, with strong demand and orders in our strategic sectors booked several years out. Turning now to performance materials with the story in Q4 consistent with what we've delivered all year. Revenue increased by 36% in the quarter to $25.8 million over Q4 2024. This brought full year segment revenue to $105.7 million, up 22% over 2024. Q4 adjusted gross margin was 40.9% of sales compared to 33.5% in Q4 of last year. As mentioned, the segment's full year adjusted gross margin came in at an impressive 42.4% of sales. Adjusted EBITDA in Q4 increased by 108% to reach $7.8 million for the full year adjusted EBITDA increased by 59% to $35.1 million. The segment's overall performance was driven by a favorable inventory position coming into the year and improved product mix, higher prices net of inflation and higher metal input costs. Turning now to outlook. As the geopolitical and economic backdrop continues to evolve, we expect our operating environment in 2026 to remain complex. The underlying growth fundamentals and structural expansions in our key end markets remain very strong, providing a long runway for growth. However, we must also contend with rising input and operating costs that will pressure our margins, especially after the exceptional performance of 2025. From an operational perspective, we are laser-focused on the execution of our growth plans. This includes scaling production and increasing capacity in strategic sectors in order to meet customer demand. We have that called all of those key projects. Driving productivity and operational efficiency in 2026 is also key to help mitigate anticipated margin pressures. With our strong balance sheet, we will continue to invest in our operations, while also pursuing external growth opportunities to further strengthen our advanced materials leadership in key markets. Taking into account this environment and what we have in the pipeline, we anticipate generating adjusted EBITDA of between $100 million and $105 million in full year 2026 with a higher contribution in the second half of the year. This reflects a measured and disciplined approach to build on what we have achieved last year. Our focus is on solidifying our expanded earnings base and investing selectively in capacity to generate a sustainable performance. This approach positions us to further strengthen our standing as a supplier of choice in strategic sectors and to deliver continued value creation for our shareholders. That concludes our formal remarks. I will now turn the call back over to the operator for the Q&A with our financial analyst.
Operator: [Operator Instructions] Your first question comes from Baltej Sidhu from National Bank.
Baltej Sidhu: Congratulations on the quarter. First one for me is on the back of the results of America's largest solar technology manufacturer, which saw its guidance coming in below expectations and some strategic underutilization of international facilities. Just given the Trump administration's new countervailing duties for Southeast Asian imports on solar cells and panels and if this stick, we think that its U.S. operation should be a benefactor. Any comment you can provide as it relates to that, but also the pressure on international sales and any impact to BNP, if you were looking to gain more market share in that realm?
Gervais Jacques: Well, thanks for the question. I believe that the emphasis that they are doing on reshoring and supply chain resilience that they've been talking about, I think it's all favorable for 5N Plus, and it's positioning us as the supplier of choice for them.
Baltej Sidhu: Fantastic. And now turning to your 2026 guidance. The midpoint currently aligns with consensus and implies roughly 11% year-on-year growth. Just given the underlying momentum in the business, along with the recently announced capacity expansions for Cad Tell and AZUR, can you walk us through the key drivers underpinning that 11% growth at the midpoint? And if there's any details that you can shed on puts and takes that are embedded in the guidance?
Richard Perron: Okay. Essentially behind the guidance in terms of growth, Bal. In the case of our renewable energy, I think we've been -- it's all out there and following our press release of last year. So we have confirmed volume for 2026 and further increase in volumes to '27 and '28. That's essentially -- this is locked in, and that's by default, a solid assumption to use in our guidance. As for space, it follows also our most recent press releases in terms of capacity expansion. So more recently, we announced capacity expansions for -- in '26 with benefits in '27. But if you go back to previous announcements of last year, all of that extra capacity on a full year basis is also embedded in our guidance numbers for this year. That's for the space business. Everything else, we -- from a guidance perspective, we keep our assumptions as I'm going to use the term with conservatism, and small growth. And obviously, we're applying ourselves to do always better. So first 2 sectors is backed up by orders and capacity expansion projects. And on FV, we remain prudent.
Baltej Sidhu: Okay. That's great detail. And another one for me is just on the performance materials outperformance and the margin normalization that you noted just given the anticipated cost pressures that was noted. Could you provide more detail on your assumptions around business pricing? Margins have continued to remain elevated. What visibility are you seeing on pricing trends? And what are you hearing in conversations with your suppliers and the offtakers?
Richard Perron: The metals we play with, it's always extremely hard to forecast any movement in prices. So we essentially -- the way we work is through our commercial contracts. That's how we protect ourselves forward. But by default, because we hold a certain inventory on hand, we have to be more prudent than less. So again, from a guidance perspective, we tend to use either stable or decreasing prices in order to face any -- in order to plan for any, let's say, unfavorable movement from notations. But if you recall, we've made so many changes to our product portfolio and footprint that actual variations in notations, they don't have as much, impact as they had in the past. So -- but we commercially hedge ourselves to protect us against any variations rather than guess where the nations will go in time. So we don't have a public opinion as to where bismuth prices will go in the future. We tend to manage any variation in limitations through commercial hedging and making sure that we hold on to products that have the smallest percentage of metal as possible. So value -- deliver value-added products.
Operator: Your next question comes from Amr Ezzat from Ventum Capital Markets.
Amr Ezzat: Congrats to you and the 5N team on an incredible year. Maybe I should start with the margins on Specialty Semi. They stepped down meaningfully in Q4, which I think we all expected given your comments in Q3. But I'm just wondering how much of that step down is structural or product mix versus like the maintenance that you guys sort of spoke to? And what should we read as the right sort of normalized margin range heading into '26 for Specialty Semi?
Richard Perron: Okay. Most of the key factors behind this lower margin expressed as a percentage of revenue is essentially from accelerated or definitely us applying ourselves at getting ready -- accelerated preventive maintenance expenses and us getting ready to start 2026 on solid grounds, okay? So the vast majority of that lower margin, again, expressed as a percentage of revenue due to that. There's a little bit of product mix, and there's a little bit by default of the usual slowdown that comes in, in December. Then going forward, I think you can hold on to the full year gross margin in order to modelize your -- the business.
Amr Ezzat: Fantastic. No, that's helpful. Just another one on your EBITDA guide for fiscal '26. I appreciate your remarks in the -- in your prepared commentary on the gating factors there and the inflation of input costs. But can you speak to what assumptions you guys are using or are embedded in your model for inflation for the different input costs, like just at a very high level, then you did mention that you're being conservative as well, which is always good. So should we be expecting another 2 increases in 2026?
Richard Perron: Yes. Look, it's not a perfect science. Obviously, labor costs, we come up with assumptions that are based on external data. When it comes to energy and consumables, we tend to anticipate a bit more than what is the market consensus right from the start. Then the tough part remains the input metal that we use, okay? Obviously, we're using much less metal than everything we're manufacturing and selling today, but it starts with a piece of metal. There are 2, we tend to look back and assume that similar increase will happen in the following year, okay? That's our approach, which is an approach that is more -- that shows more conservatism than less. But again, the best way for us to protect us against input metal increases is through our commercial aging practices and everything else.
Amr Ezzat: Okay. I appreciate that. Then maybe if we could dig into space a little bit. Can you speak to the pricing dynamics you're seeing? Should investors expect any erosion whatsoever once competitor capacity arrives or from your vantage point, demand absorption is strong enough to keep pricing rational?
Richard Perron: Well, if you remember, the way this business works, you earn contracts today to be delivered later on. So the backlog that we have for '26, '27 and '28, all of that is based on the most recent favorable pricing environment, okay? So everything that you're describing is more on a way forward-looking basis. But have in mind that we're producing more and more and we have economies of scale going forward that allow us to maintain margins independent of where pricing will go to.
Amr Ezzat: Fantastic. That's always good to hear. Then maybe one last one, Richard. It will be your first year as CEO, then as Gervais as Chairman. What changes, if any, should we expect in strategic priorities?
Richard Perron: Look, it's a transition where there's -- we're making sure that there's continuity in our strategy. So don't expect anything more than us applying ourselves to go further the business on everything that we've built so far.
Operator: Your next question comes from Yuri Lynk from Canaccord Genuity.
Yuri Lynk: You called out in your outlook section, I think, for the first time, some medium-term opportunities in Security and Defense. Just wondering if you can provide a little more detail on that line.
Gervais Jacques: Well, as you may know, we've been working really hard in developing new products for this product line. And we know all these -- the shift to photon counting detector is starting to happen, and we can feel it, we can see it. And this will have an impact going forward. This year, quite limited, but in 2027 and '28, that's going to start to be something significant. And we also -- we're developing all sorts of detectors that are being used both for Medical and Defense application. And today, being a Western world producer being able to do that is now definitely a key attribute that position 5N favorably.
Richard Perron: Over the past few months, many of the big names associated with the Defense industry have come up to us and they're pretty impressed and interested in our capabilities to grow crystals, make substrates, lenses, recycle and refine strategic minerals and health. So all of that is giving us a lot of comfort that the whole topic of Defense will play favorably for us in time.
Yuri Lynk: And does that Defense reference in the outlook, does that specifically tie back to the upstream expansions at St. George?
Richard Perron: It's one of the factor, but it's the equation -- what is favorable -- what is playing favorably for us is the equation of us starting from piece of metal all the way to fancy semiconductor products. That's really the full integration that we can offer to the industry, obviously, based out of China, which is a definite -- it's a prerequisite.
Yuri Lynk: Okay. And it reads to me that those security and Defense applications might show up in your revenue line before the sensing and imaging opportunity that you've talked about previously. Is that the correct way to read that?
Richard Perron: No, it's going to -- we -- as you know, the way -- like we have this segment and we have those sectors that we serve under those segments, Defense is actually kind of spread out in between space and sensing and imaging today and to some extent, technical materials as well.
Yuri Lynk: Okay. Switching gears, really nice cash generation in the quarter, balance sheet in fantastic shape. Can you talk a little bit about the M&A pipeline, if we want to call it that, and how that might have evolved over the last, say, 6 to 9 months?
Richard Perron: We continue to look at many different files. Yes, we have what you call -- what you refer to as a pipeline, but it still requires a fair bit of work on our side before coming out to the market and say, here's the target and here's why it's a good target. But we're actively revving many different files, meeting people, making what choose and out. We're very serious about completing a transaction this year, highly motivated as we say. But can we give you more details this morning as to the exact materials and/or markets that it came for? It's a bit hurry.
Yuri Lynk: Yes. No, I understand that. I mean you say you expect to do something this year. I mean, sometimes these things aren't in your control. I mean, are you okay, if nothing -- if you can't do an acquisition this year, you're okay with that? I mean, how do we think about other ways to put the balance sheet to use?
Richard Perron: We have a lot of internal growth to manage. This year, we're focusing on execution and deliver a strong pipeline of order that we have. And we have -- the backlog is more than 365 days. But if you look at it segmented by sectors in renewable, it's more than 3 years. Then what we're doing now is looking at M&A, but without pressure because we want the right deal. We don't want to do an acquisition. We want to do the right one, like we did successfully with AZUR 3.5 years ago.
Operator: Your next question comes from Michael Glen from Raymond James.
Michael Glen: Maybe just to start, CapEx in '25, including intangibles, was just below $21 million for the full year. Can you provide an outlook for 2026 on CapEx?
Richard Perron: It's going to be in a similar range.
Michael Glen: Similar range. Okay. And then working back to the germanium investment or alignment with the U.S. Department of War. What should we think about in terms of revenue impact in 2026 and 2027 from that specific agreement?
Richard Perron: For 2026, very little. 2027, we will start to realize some benefits out of it, but it's more a '28, '29 perspective because it takes some time to install it all and get going, and we expect it's going to take at least a year, like we have already a plan with a short list of equipment and feeds to treat, but all of that will take most likely all of this year to at least get the initial stuff in place and get going. So it's more of an horizon '28, '29, but there will be some benefit this year and next year associated with recycling and refining complex feeds that contain germanium and from that germanium additional businesses associated with lenses, detectors and else.
Michael Glen: Okay. And then just circling back to the First Solar-related business. So I get that a lot of what they're speaking about during the conference calls related to low capacity utilization internationally. Can you remind us or speak to your -- what level of capacity increases you've put in Canada and Germany, maybe since the end of 2024, like how much has capacity increased for you? And speak to or remind us of the -- some of the higher level contract terms associated with First Solar volumes?
Richard Perron: Essentially, since the end or close to the end of 2024, we must have at least doubled our capacity. And this year, we continue to add a bit capacity, and we're adding new and we're adding new equipment, brand-new capacity associated with this additional thin-film PV materials that we're going to be supplying for Solar, Cadmium [ selenide ] as we presented in our press release last August.
Michael Glen: Okay. And are you able to remind us just the contract like pricing or volume commitments? Like how do we think about those?
Richard Perron: Well, the volume for '25 and '26 is 33% higher than '24. And for '27 and '28, it's an additional 25%...
Gervais Jacques: Over 25%, 26%.
Richard Perron: Yes.
Michael Glen: And that's -- we can characterize that as take-or-pay in nature.
Gervais Jacques: It is.
Richard Perron: And it is back with their capacity and most of their growth has been happening in the U.S. with their Louisiana and Alabama facility. And as you know, Petersburg has been also optimizing their production. Then what they said and what they continue to do is trying to refocus, recenter their production in North America.
Michael Glen: Okay. And just final one. How do you think about -- are you able to give us -- I know you guide on EBITDA, but not on revenue. Are you able to give us any indication? Should we expect that revenue will -- should meaningfully outpace EBITDA growth next year?
Richard Perron: Yes. Based on our current assumptions and again, being prudent, we're very prudent as to the actual gross margin expressed as a percentage of revenue. So you see where our guidance goes from our current 2025 EBITDA. So yes, revenue should -- as a percentage increase, should outpace a little bit the growth in EBITDA.
Operator: Your next question comes from Frederic Tremblay from Desjardins.
Frederic Tremblay: Just wanted to dig a bit deeper on the '26 guidance. In your comments, you did mention that you expect a higher contribution in the second half of 2026. Wondering if you can maybe provide a bit more color on the factors that are driving that? Is it just business seasonality or some of the capacity increase is coming online?
Richard Perron: As you know, as I explained in order to build or compile our guidance, we have renewable energy and our space solar business essentially all under contract. So it's just the actual anticipated release date of those contracts that makes it -- that makes the second half a bit -- anticipated to be a bit stronger than the first half. Obviously, releases can change from clients. We occasionally can move things around. But based on the current releases communicated by clients, assuming a stable allocation of the rest of our businesses throughout the quarter, we can anticipate the second half to be stronger. But all of that is -- I mean, it's still early stage, but it's based -- what's behind it are communicated releases from clients.
Frederic Tremblay: Okay. And you mentioned a bit stronger. So it's in terms of quantifying it, it's not -- it's not really a huge.
Richard Perron: It's a bit stronger, exactly. But as I said, the full year is always committed under contract, but it may change from one quarter to another depending on confirmed releases from clients, but we start the year with a first plan discussed with clients, and that's what we have modelized and built up from a bottom-up forecast perspective.
Frederic Tremblay: Yes. Understood. Okay. And then you did mention your intention to drive productivity and operational efficiencies across the business. Wondering if you could provide some high-level examples of what you guys are working on, on that front?
Gervais Jacques: Well, as you know, we've been adding capacity. And normally, when you're adding capacity, you're hiring new employees, you're training them, you're developing new methods of working. And then second wave is you're doing optimization. And this is what we will be focusing on doing is trying to optimize, also bring more automation on board in both at AZUR, but also into our renewable energy. Then we've been successfully able to start the equipment, deliver products. Now we're now starting the wave of improvement.
Frederic Tremblay: Perfect. And then last question for me. Just on the preventive maintenance that happened in Q4, did you complete everything you wanted to complete there? Or are we expecting an impact in Q1 as well?
Richard Perron: It's not going to be -- we did not complete everything we wanted to complete, but it's not an impact per se because if you recall, what we've done is accelerating stuff that we typically do every year. Whatever is not done in '25 is not incremental to '26. It's rather the other way around.
Gervais Jacques: It's a burden to '25 that's what he said so...
Operator: [Operator Instructions] Your next question comes from Kaelan Purdie from Cormark.
Kaelan Purdie: It's Kaelan Purdie here filling in for Nick. Great clarity there on the maintenance strategy. Could you also maybe just speak to the pipeline for AZUR given the incremental capacity at Heilbronn, has the uptick in capacity come with any new contracts, both commercially and on behalf of government?
Richard Perron: Well, if you recall, our approach to capacity expansion, more specifically to our SPACE Solar business is that as comes a point in time when the backlog for the following reaches the previous year's capacity level, that's when we trigger capacity expansion. So what we have announced a month or so ago is aligned with that approach, meaning that we see 2027 at level -- confirmed contracts at level of our most recent capacity and it goes on, and then we trigger those investments. So the same will likely -- the same assessment will likely be done late '26, early '27 for '28 and so on and so forth. So to answer your question, when we increase capacity because we have the contracts.
Kaelan Purdie: Okay. Understood. So nothing in terms of significant pipeline without the contracts?
Richard Perron: But the pipeline is by itself significant because the whole satellite industry continues to grow and there are more and more opportunities. It's still on a fast-growing mode today. But again, the key for us is not to bring too much capacity too earlier in time. That's where it comes to discipline that we have.
Gervais Jacques: Every other week, we're bidding on projects. And when we are winning a contract, then we need to question ourselves, do we have the right capacity for -- in 2 years in time, then it's triggering decision. Then this is why we've been announcing the third expansion of AZUL might not be the last one.
Kaelan Purdie: Great. Understood. One last one for me. You previously identified that medical imaging is a pretty promising catalyst. I think we chat about it in the call a bit earlier here. Can you just maybe provide a quick update on the commercialization time line for the detectors? Is it still 2027?
Gervais Jacques: Yes. Well, we have now one customer who is manufacturing PCBs at industrial scale. What we expect is later this year and starting next year, you will have more than one customer doing it. Then the demand will be increasing. We will play an important role. We're not the only one we're competing against China, but we will play an important role in securing the supply chain for these new products. And that's something we've been developing for many, many years. Then I think the change is happening. We see the industry moving from scintillators to photon counting detectors. It takes time. But when it's done, it's going to be there for a long period of time.
Operator: Your next question comes from Baltej Sidhu from National Bank.
Baltej Sidhu: Just a quick one for me. Just given we've spoken about the cadence of contribution from the recent U.S. government investment to expand domestic germanium refining. And appreciating that it's still early days, could you share any details on how we should think about the CapEx deployment cadence?
Richard Perron: Okay. The CapEx deployment, essentially that grant pays for CapEx. That's what's behind it ultimately. It covers also some of our own development costs, our engineers' time [indiscernible] to that. The actual deployment -- if it's for modelizing him, again, keep in mind, it's all backed up by grant, it's for your model. It's to anticipate the business that will come out of it by default, there's a little bit of CapEx in the first year, but most of it comes in, in the second and third year by default because what's behind it is for us to finalize developing the processes and put the capabilities and capacity in place to treat various feeds that contain germanium, where by default, we will start with the easier feed and then more complex feed and even more complex feed and keep towards the end, like the real complex done, okay? So the CapEx will also be linked to the complexity of the feeds in time. So it's going to be gradual with the most important CapEx to be realized somewhere in the middle of the project by default. But again, if your question is around helping you to modalize CapEx, there's a grant behind it.
Baltej Sidhu: Yes, yes. No, I was just looking at kind of backing into the cadence of the realization for that.
Operator: And there are no further questions at this time. I will turn the call back over to Richard Perron for closing remarks.
Richard Perron: Okay. Well, we would like to thank you all for joining us this morning, and we wish you a great day.
Gervais Jacques: Thank you.
Richard Perron: Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. You may now disconnect.